Operator: Good morning, and welcome to the United Airlines Holdings Earnings Conference Call for the Fourth Quarter and Full-Year 2020. My name is Jenny, and I'll be your conference facilitator today. Following the initial remarks from management, we will open the lines for questions. . This call is being recorded and is copyrighted. Please note that no portion of the call may be recorded, transcribed or rebroadcast without the company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I will now turn the presentation over to your host for today's call, Kristina Munoz, Director of Investor Relations. Please go ahead.
Kristina Munoz: Thank you, Jenny. Good morning, everyone, and welcome to United's Fourth Quarter and Full-Year 2020 Earnings Conference Call. Yesterday, we issued our earnings release, which is available on our website at ir.united.com. Information in yesterday's release and the remarks made during this conference call may contain forward-looking statements, which represent the company's current expectations or beliefs concerning future events and financial performance. All forward-looking statements are based upon information currently available to the company. A number of factors could cause actual results to differ materially from our current expectation. Please refer to our earnings release, Form 10-K and 10-Q and other reports filed with the SEC by United Airlines Holdings and United Airlines for a more thorough description of these factors.  Also, during the course of our call, we will discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures, please refer to the tables at the end of our earnings release.  Joining us on the call today to discuss our results and outlook are Chief Executive Officer, Scott Kirby; President, Brett Hart; Executive Vice President and Chief Commercial Officer, Andrew Nocella; and Executive Vice President and Chief Financial Officer, Gerry Laderman. In addition, we have other members of the executive team on the line available to assist with Q&A.  And now, I'd like to turn the call over to Scott. Thank you.
Scott Kirby: Thanks, Kristina, and thank you all for joining our call today. 2020 was a year of going through hell, but we kept going. And a few years from now at United, we'll look back at 2020 as the year that gave us the opportunity to structurally change the airline for the better. I want to express my sincere gratitude for the outstanding work of the United team during such a difficult time. 
Brett Hart: Thanks, Scott. I want to start by echoing Scott's words, expressing our gratitude to the entire United family for their hard work and perseverance throughout 2020. While 2020 was an extremely challenging year, I'm proud of the way our employees came together to respond, and as a result, close the year with our highest customer satisfaction scores. Scott is right that the pandemic has fundamentally changed our airline forever. We doubled down on innovation and took advantage of this opportunity to make sweeping changes across every aspect of our business. But nowhere were those changes more critical and more profound than the steps we have taken to ensure the safety of our customers and our employees.  Testing, tracing, vaccines and advocacy related to these elements with the U.S. and foreign governments are the best way to get orders open and people flying again, taking each of these in turn. As more countries around the world and states in the U.S. put up barriers to travel to contain the spread, we have advocated for passenger testing as an alternative to quarantines and restrictions. 
Andrew Nocella: Thanks, Brett. We ended the fourth quarter with total revenue down 68.7% and passenger revenue down 75.7% on capacity down 57%. Within the quarter, we reduced capacity versus our initial guidance with demand tracking below our expectations. It was nice to see Christmas perform better than Thanksgiving with fewer close-in cancellations, but I can't help but think back to 2019 Thanksgiving performance, where United shattered all revenue records, lifted by the momentum of our commercial and customer initiatives. Obviously, with the pandemic, our 2020 performance was quite the opposite.  Our cargo team continued to execute in the quarter with an impressive 77% increase in revenue. And of course, we gained a bit of traction for flying the first of the vaccines from Europe, which we're very proud to have done. As Scott mentioned before, our team has been preparing for the vaccine transport since April and played a critical role in distribution of that very precious cargo.  Our total passenger revenue continued to be pressured and was down almost 76% in the quarter. Unsurprisingly, leisure and VFR destination continued to be a source of some strength. Our Latin region led the charge with passenger revenues down 65% for the quarter. Our loyalty and other revenue in the quarter was down about 20%, showing the resiliency of that business. Domestically, passenger revenue was down 72% for the quarter. Our Mid-Con hubs in Denver and Houston outperformed the other hubs in the system. Atlantic and Pacific passenger revenues continued to be severely impaired at down 88% and 91%, respectively.  Given the spike in cases and even tougher border controls, demand has once again stalled, and we expect first quarter 2020 revenue -- total revenue to remain down 65% to 70% versus 2019 with capacity down at least 51%. In other words, we don't expect a material improvement in the -- over the fourth quarter revenue results based on what we see today. Our outlook does not take into account any potential positive uptick in bookings driven by improved vaccine distribution in the quarter nor in April where we expect not to see a normal spring break.  Well, I guess that's a pretty sober outlook for Q1 relative to what many had hoped for. The really encouraging long-term news is we have been spending a lot of time talking to our corporate customers, our travel agency partners and general customers and know a demand recovery is coming and expect it will look like the following.  The recovery will look like an S curve. We expect to remain on the flat part of that curve for early 2021. Recent international test requirements will be a short-term negative, but a medium and long-term positive as a way for consumers and businesses to regain confidence and borders to come down.  Our surveys indicate the cleaning and testing actions United has implemented are beginning to increase confidence materially. Demand will increase sharply at the point where vaccines have been widely distributed and border restrictions are eased and not prior. Expect that in the second half of 2021, possibly sooner if vaccine distribution improves.  Leisure demand will recover quickly, likely in a few months driven by pent-up demand following the vaccine. Business demand will take 18 to 24 months to recover. And assuming that we correct, we expect that to be -- assuming that's correct, we expect that to remain down in 2022.  Businesses will have less travel related to internal meetings in the medium term, but that will be offset in part by pent-up demand for standard business travel related to getting production and products back to market that have been delayed and increased employee travel related to remote work. We expect domestic capacity will be running ahead of demand during the recovery.  We also expect industry international capacity to be high -- to be behind demand due to many structural changes announced industry-wide to date. Traditional major markets in Europe and Asia will recover in 2022, but we expect emerging international markets to be stronger in the near term. So what does all of that mean for United and our short- and medium-term plans? Given our demand recovery outlook, we expect international profits will return quicker and stronger than domestic. In the past -- in the last cycle, domestic margin performance was clearly above international, and we expect domestic margins may be under some pressure at the beginning of this next post-COVID cycle, given all the data we have analyzed.  United clearly was less well positioned to take advantage of the domestic margin performance in the last cycle, but we are well positioned to take advantage of these -- of the expected international opportunity in front of us. We at United have diversified our international network given these expectations with increased service to Latin America, India, the Middle East and Africa.  United sub cities are optimally positioned to be -- to best participate in this recovery. United's coastal gateway cities are simply the best gateways for overseas travel to Europe and Asia. We also plan to get back on track with enhancing connectivity in our Mid-Con hubs and pushing aircraft gauge up as we retire our single-class 50-seat jets. While domestic margins may be under more pressure in the next cycle relative to the last, we intend to offset that pressure with changes to gauge and connectivity, a measurement we trail our key competitors on by a substantial margin. Timing is now right to restart investments in our business that will drive better customer satisfaction through consistency of products such as Polaris, easy experience of our customer via digital innovations, increased use of the CRJ-550 as we retire the single-class 50 seaters, larger overbins and many more. These investments are all contemplated with the commitment to flat CASM-ex in 2023 versus 2019.  With sufficient liquidity available to us, many investments for the future have restarted, and new customer innovations are under development for the coming years. As everyone knows, we have a no-excuse policy at United. Prior to the pandemic, we were on the right course, and just about every measurement validated that performance.  I also wanted to note that the commercial team has done a great job in managing the key PRASM and RASM measurements relative to the industry so far in this crisis. What I'm most proud of is the fact that our business focus, our long-haul focus and our coastal gateway focus would otherwise say our performance should trail the industry, and it is quite the opposite. When these key portions of our business resume, even in part, we expect our relative performance to be even that much better given our relative exposure. This is why we look forward to exceeding our 2019 EBITDA margins by 2023. Our business and industry will be forever changed due to COVID, but our commitment to enhancing the customer experience and driving better financial performance is unwavering.  I want to end today by noting that we have seen an inflection point in customer sentiment about travel early this year, with the level of worrying falling quickly and the number of people planning a trip jumping. While we expect this to really translate into new revenue for the second half of the year, it's possible that we begin to enter the positive part of the S curve earlier.  Just like the Kirby family, my kids are demanding a trip to Disney soon. I wanted to thank the entire United team for their amazing work in 2020.  And with that, I'll hand it off to Gerry.
Gerald Laderman: Thanks, Andrew. Like most of us, I am happy to say good riddance to 2020. But if there was a silver lining last year, for me, it was being so impressed by the number of people at United who have gone above and beyond in every way. Whether it's our frontline employees, ensuring that our customers are provided a clean, safe and reliable experience or the members of my entire finance organization who have been working long hours and weekends to ensure that we maintain financially sound footing through the crisis, thank you for everything you've been doing.  For the fourth quarter of 2020, we reported a pretax loss of $2.4 billion and an adjusted pretax loss of $2.6 billion. Fourth quarter total operating expenses, including -- excluding special charges, ended down 42% year-over-year, in line with our guidance. Our fourth quarter results bring our full year 2020 pretax loss to $8.8 billion and an adjusted pretax loss of $9.9 billion. By any measure, the size of this loss is stunning. However, it doesn't tell the full story of 2020.  Going into the crisis last March, we had around $6 billion of liquidity. With the bulk of our revenue quickly disappearing, managing liquidity and cash flow became far more important than any other financial metric. We worked throughout the year to build a liquidity cushion to last beyond when our customers start flying again.  I'm pleased to report that we ended the year with approximately $19.7 billion of available liquidity, including $1 billion of undrawn revolver capacity and $7 billion available to borrow under our CARES Act loan. This is over 3x the liquidity we had before the crisis.  Turning to cash burn. Our fourth quarter cash burn ended a little better than our recent guidance. Including debt and severance payments, average daily cash burn was $33 million. Please keep in mind that everyone defines cash burn differently. As we said on our last call, once we raised enough capital and cut enough expenses to survive the crisis, cash burn as previously defined was no longer the best metric to use as an indicator of the performance of our core business.  In the earnings release, we included a chart to give you better detail on cash burn and to demonstrate the progress we've made on core cash burn throughout last year. You can see from this chart how we managed various components of cash burn. In the second and third quarter, for example, we were able to negotiate payment deferrals that improved average daily cash burn by $2 million and $1 million, respectively. While in the fourth quarter, now having sufficient liquidity, we started to pay those deferrals back.  Similarly, we deferred expenses such as heavy maintenance checks and engine overhauls as we simply grounded aircraft not required to support our schedule. However, in order to prepare for the recovery, we've restarted that work. In total, core cash burn in the fourth quarter improved by about half since the second quarter, dropping from an average of $38 million per day to $19 million per day. We expect core cash burn to remain flat in the first quarter as compared to the fourth quarter and continue to improve going forward.  Even though cash burn continues, we currently expect to end the first quarter with about as much liquidity as we ended 2020 due largely to at least $2.6 billion we expect to receive under the Payroll Support Program extension. We received the first installment of $1.3 billion last week and expect to receive additional amounts in February and March. In addition, thanks to additional flexibility provided by the U.S. Treasury Department, we now have until May 28 to decide how much of the $7 billion available under the CARES Act loan we may borrow.  Our strong liquidity position is due to both our successful capital-raising activity as well as our continued focus on cost control. In 2020, we were able to stop spending money on activity that was not necessary for our substantially reduced operation. While this focus will continue into 2021, with our strong liquidity, we are able to resume investments in our operational infrastructure to be ready for the recovery. While no one can confidently predict the timing of the recovery, we do know that if we don't start some of this work now, it will be impossible to be fully prepared when the recovery happens. For example, as I mentioned earlier, the airframe heavy maintenance and engine overhaul work we postponed last year now has to be done to ensure that we can ramp up the schedule as demand returns. Similarly, we postponed some work on some of our airport hubs last year since they either closed or lightly utilized. Again, that work needs to be restarted to be ready to welcome back our customers. At the same time, however, we will be cautious and maintain the flexibility to slow down these investments if necessary.  Looking at capital expenditures. While we currently expect nonaircraft capital expenditures to be around $1.4 billion in 2021, we have a plan where we can reduce this amount by half, if necessary. We expect aircraft capital expenditures in 2021 to be about $2.5 billion, including the 24 737 MAXs, 11 787s and 4 Embraer 175s we expect to take delivery of this year. Just like 2020, we are only taking new aircraft this year that we can fully finance.  Looking beyond just the first quarter of 2021, we have made structural changes to our cost base. These changes are ongoing, but some examples include permanently reducing management head count, representing over $300 million of annual savings; simplifying our regional strategy by ramping down our regional partners from 8 to 6, which drives about $50 million of benefit; renegotiating contracts across the supply chain; and consolidating and streamlining maintenance operations, which drive over $100 million in savings.  Thus far, we have identified $1.4 billion of annual savings and have a path to at least $2 billion in structural reductions moving forward, which will enable us to offset inflationary cost pressures. As we continue to make these structural changes, we are confident in our commitment to achieve 2023 CASM-ex flat to 2019 and 2023 EBITDA margins that will exceed 2019 levels. We hope to get there earlier than we are targeting but are confident in the trajectory into 2023.  As we return to profitability, another primary goal is to restore the strength of our balance sheet. This means maintaining sufficient liquidity, reducing debt and unencumbering assets. This crisis has afforded us a number of valuable lessons about the balance sheet and capital allocation. Before COVID, we modeled our worst-case scenarios based on the financial impact of 9/11, followed by a recession. It turns out we weren't even close. Going forward, we will focus on being ready for sustained destruction of global air travel demand like we are seeing today.  In addition, we need to be more cognizant of the fact that cash associated with advanced ticket liability may not be a reliable source of working capital during a crisis. As a result, we expect to establish a higher minimum liquidity target than before the crisis. On the positive side, we've developed a greater understanding of the value of our assets that are available as collateral and how investors differentiate the various collateral types. This will steer our decisions as we unencumber assets, ensuring that higher-quality collateral is available to use to quickly raise substantial incremental liquidity just like we did over the last 9 months.  Given the amount of debt we have taken on, it will take a number of years to restore the balance sheet. As a result, it may constrain our ability to make all of the investments in our business that would otherwise benefit our people, our customers and the communities we serve. However, we will make thoughtful choices when it comes to paying down debt versus making investments. Taking a balanced approach to capital allocation, combined with establishing a sustainable cost structure, will enable us to achieve our EBITDA margin for 2023 and beyond.  With that, I will turn the call back to Kristina to start the Q&A.
Kristina Munoz: Thank you, Gerry. We will now take questions from the analyst community. . Operator, please describe the procedure to ask a question.
Operator: Thank you. The question-and-answer session will be conducted electronically. . And our first question comes from Brandon Oglenski from Barclays. Please go ahead.
Brandon Oglenski: Hey, good morning, everyone. And Scott and team, thanks for the more positive outlook on 2023. But I guess, Andrew, you mentioned that maybe domestic would be a little bit more challenged here if we lead with leisure recovery. How do you guys really differentiate in that environment? Is it really connectivity through your hubs? You did talk about a gauge efficiency as well. Could you expand on that?
Andrew Nocella: Sure. You got it right on the -- nail on the head there in terms of we do have these gauge gaps. And as we retire 50 seaters, I think you should see our gauge starts to move in the right direction. And then the plan we had in terms of domestic connectivity really hasn't changed. We have sufficient shortfalls there as well. So as we close those gaps, we think that's going to provide us a nice tailwind.  But the other key component of that is we have the largest exposure on the international side, I think, of any of the big large U.S. carriers. And we do think there is a bunch of structural changes there that will lead to stronger relative performance over that period of time, and that should benefit United more than our competitors. So we think we have that lever on the international side, and then we have the gauge and connectivity level -- lever on the domestic side, which should make, I think, a real big material difference to our performance in 2023.
Brandon Oglenski: Yes. I guess just as a quick follow-up to that. The simple, maybe more negative investor view might be, hey, you're going to face a lot of domestic higher-density competition. So do you think that these differentiating factors for you guys in your network could actually lead to a revenue premium if fares stay low domestically?
Andrew Nocella: Well, a RASM premium, I suppose, is maybe the way I would look at it, not a -- to be more specific. But absolutely. We think as we move the gauge, given the size of our hubs with cities that are located in, we have undersized the gauge of the airline and we're going to move to correct that. And as you can imagine, that will have a nice cost tailwind. So we think that is a unique benefit, a lever we can pull that, quite frankly, others have already pulled, which gives us relative outperformance. And again, on the international side, I think our network speaks for itself in the structural changes that you see in the environment today. And I don't need to rattle them off. They show up in the headlines almost every day. It's going to be a really big benefit to United. So we add those things up and believe that our performance in 2023 is where we need it to be. And that's why we're excited to make that commitment. And again, Scott gave us the no-excuse policy a while ago, and so we're going to hit it.
Operator: And our next question comes from David Vernon from Bernstein. Please go ahead.
David Vernon: Hey, guys, thanks for the time. So, Scott, I guess, if you're looking out to 2023, expecting the EBITDA margins to get to an above sort of 2019 level, given Andrew's commentary on the S curve of demand recovery, is there a way you can help us think about the rate of change in that EBITDA margin recovery? Is this something where we're going to get back to break-even and stabilize a little bit and then come back as yields get better? Like how should we be thinking about the improvement in the EBITDA margin kind of from where we are to the higher end of that S curve?
Scott Kirby: I'll try, and Gerry and Andrew can pile on if they want. This really is about when demand is going to recover. I think this team has done a pretty remarkable job of quickly, quickly getting our cost and cash burn down early in the crisis. And now it really depends on when we hit the inflection point for the recovery in demand.  And that inflection point will happen when there's a critical mass of the country that has been vaccinated. But also when we affirm a scientific and medical conclusion that once you get the vaccine, you're not only immune from catching COVID, you are no longer a transmission vector for COVID. That's an important step that hasn't happened yet that needs to happen. And when that happens, if you look at the shape of an S curve, it will be a very rapid increase in demand.  And it's anybody guess on when that happens. We have been more conservative, I suppose, perhaps than others. Unfortunately, we've been more realistic as well so far. And I think it's a little further to the right than perhaps others. But it's really not the point.  And the reason we said 2023 is while there can be hope that it's going to happen in spring, in 60 days from now, whether it happens in the spring or the summer or the fall, what we're really confident of is we will, sometime this year, hit that S curve turning point. And then there'll be a very steep increase in demand. And we'll rapidly go back to, call it, 85% to 90% of 2019 demand levels. And somewhere in there within a matter of months, it's hard to call precisely, we'll move from being cash negative to, I think, quite a bit cash positive.  And I'm not sure of the timing because it's all dependent on the timing of when the demand recovery happens. And then we'll be on the top part of the S curve where we gradually move back towards the 2019 level. And so that's the shape of what we think the demand curve is.  That inflection point, by the way, if you're looking for it, I think at the same time, I've been telling employees the same day that you feel like you can go kind of almost everywhere in the country and go to a restaurant and be at 100% capacity is probably when it happens for us because that's the kind of environment we need, where people are back in the offices and office buildings aren't limiting capacity, where restaurants aren't at 25% capacity, where Disneyland is open, where Broadway shows are open and you're able to go to them again. Those are all the things that drive -- those are the demand generators for aviation. And when those things are open again is when people are going to start traveling again. Those probably aren't going to be open until there's -- till we hit the inflection point with vaccines. But everyone can have their opinion on when that's going to happen. But when it happens, I think there's -- we have lots of data, lots of surveys, lots of evidence. There's huge, huge pent-up demand. And you'll see a really steep inflection in demand just over a matter of weeks and months, I think.
Operator: And our next question comes from Helane Becker from Cowen and Company.
Helane Becker: Thanks very much, operator. Hi, everybody. Thanks for the time. Actually, I think, Scott, this might be for you. Can you just talk in more detail about what you're doing with the Eco-Skies program and the environmental? I know this is like completely off topic from COVID, but I just like - sorry...
Scott Kirby: Well, thanks.
Helane Becker: …the goal you guys have for that and how we should think about the investments in that business. And sorry, but I'm really sick of COVID.
Scott Kirby: Well, thank you. I'm sick of it, too, and I love being able to talk about something other than what's going to happen in the next 60 days. Because this -- you're right, this is more important for the long-term. And I have been personally interested and cared about climate change all the way back to the 1980s, and we now have an opportunity to really make a difference. And what is clear is that as well-meaning as many of the programs are, particularly traditional carbon offset, they are simply nowhere close to being able to scale to address the climate change problem that we have. We produce 4 -- as a society world, we produce 4,000x as many carbon emissions as we did in the pre-industrial era. And there is simply not enough room on the planet to plant 4,000x as many trees.  And so absent some breakthrough, like fusion technology moving from theoretical to actually real, we are going to have to engage in wide-scale carbon sequestration. And we were honored to be a partner with Occidental and 1PointFive in the first kind of large scale, maybe even call it demonstration plant and project to take carbon directly out of the atmosphere and permanently sequester it underground.  And this is the kind of investment that needs to happen not just for aviation, but across the industrial economy to really make a dent and make a difference. And we need to start investing because that's how we move down the cost curve. 20 years ago, nobody thought wind farms or solar were economic. And today, they are because you move exponentially down the cost curve. It is going to need government support for this to happen. But I think it's certainly a feasible solution. And it's the only way that I can get the math to add up and actually make a real difference in climate change. So obviously, we have a lot of passion about it not just as aviation executives but as citizens of the world. And thanks, Helane, for asking the question.
Operator: And our next question comes from Ravi Shanker from Morgan Stanley.
Ravi Shanker: So just to confirm on the 2023 margin guidance, I think you've implied this, but are you also saying that you expect ASMs and load factor to get back to 2019 levels by that period?
Scott Kirby: Gerry or Andrew?
Andrew Nocella: We definitely don't manage to load factors. This is Andrew, but we do expect RASM to get back to where it needs to be to reach that target. And Gerry, do you want to add anything else?
Gerald Laderman: Yes, we don't have to be back to 2019 levels to hit those margins. On the cost side, the cost savings are starting now, obviously. We'll hit the full run rate when we get back to 2019 capacity, but we're seeing those results -- those benefits even today. So we don't have to get all the way back to 2019 to get back to those margins.
Ravi Shanker: Okay. Got it. And just as a follow-up to the previous response on the ESG initiatives. I mean, clearly, we saw on the auto side that traditional OEMs adopted maybe a transitory but a two-pronged approach of working on EVs while they continue to work on ICE vehicles. Do you feel like you need to do something similar and kind of looking at some of these proposed EV projects for short-haul air travel? Is that something that will get you a lower carbon footprint while you work on potential solutions for long-haul flying?
Kristina Munoz: Ravi, I'm sorry. Can you repeat your question? We're having some technical issues on our end here, sorry.
Ravi Shanker: Sure. No problem. My question was kind of similar to some of the traditional auto OEMs that were working on electric vehicle technologies simultaneously with internal combustion engine. I'm wondering if you're studying electrification or using urban air mobility drones, passenger drones as a potential short-haul electrification solution until a longer-haul green solution emerges.
Michael Leskinen: Ravi, this is Mike Leskinen. The answer is yes. We are looking at electrification across everything we do here at United Airlines. And we're spending a lot of time looking at the different development companies out there and are very excited about partnering where we see potential success stories. So I'd ask you to stay tuned. But you're right to point out that, that's an exciting area in aviation.
Operator: And our next question comes from Jamie Baker from JPMorgan.
Jamie Baker: Gerry, a question on the EBITDA guide. You sort of touched on this during your prepared remarks. But Mark and I were hoping you could give a little more color as to what sort of balance sheet you envision in 2023 corresponding to the guide, liquidity, targeted leverage, where your interest expense might be running on an annual basis at that point, stuff like that.
Gerald Laderman: Sure, Jamie. And to be honest, one of the reasons why EBITDA margin is a better metric to use in the short term is because as you know, to get through the crisis, the balance sheet has substantially more debt than we had going into the crisis. Interest expense for the next few years is going to run really pretty high.  So as I said, we're going to be balancing the pace at which we bring that down. That's, as Scott said, a very high priority for us. But to be fair, between this year and next year, of course, depending on the pace of recovery, I wouldn't expect the balance sheet to be materially different from where we are right now.  Of course, the -- we still have some flexibility we have until the end of May to decide what to do about CARES Act loans, and so there could be some adjustments. But it's really in 2023 and beyond when we start making significant progress on that debt.
Jamie Baker: Okay. That's helpful. And a follow-up, and this builds on some of Andrew's comments, but totally understand the structural arguments on the international side and the likelihood that, that is a material tailwind in 2023. Could we get a feel for how much better you believe international margins could be relative to domestic? And if you choose not to answer, could you share what that domestic-international margin split was in 2019, so we at least understand the base that we are building from?
Andrew Nocella: I'll give it a try, Jamie, without giving you all the numbers you want, I think. But international had trailed domestic in the past cycle, I would say, in the recent year or so by approximately 2 to 3 margin points. And obviously, domestic was better. In the next cycle, I don't have an exact crystal ball, but I do think that international will be probably slightly ahead of domestic.
Jamie Baker: And just to be clear, trailing 2 to 3 points, that's relative to your aggregate margin, not 2 to 3 point deficit from domestic, correct?
Andrew Nocella: No, 2 to 3 points from domestic.
Operator: Our next question comes from Darryl Genovesi from Vertical Research.
Darryl Genovesi: Andrew, maybe just a follow-up on that point. And I mean you said a couple of times now that you're anticipating a better supply-demand balance internationally than domestically over the next few years. I think some investors would posit that you're just talking your book. So can you just give us a sense for why you're so confident that, that will be the case? I mean are you counting airplanes that have been retired that other airlines -- the other airlines away from you? Or do you have some particularly high degree of confidence in sort of foreign country GDP growth? Or just can you just give us a basis for that view?
Andrew Nocella: Sure, Darryl. One, we're counting the number of 747s that -- and A380s that have been pointed at the United States that are no longer in the flying fleets of many airlines around the globe. Two, we're looking at a significant portion of capacity operated by someone across the Atlantic that has publicly said they're not going to do it anymore.  So I add up all those facts. There are simply fewer wide-body aircraft in the fleets around the world. There's, in particular, fewer the very large ones with the very large business class cabins. And then there's at least one big competitor that's no longer flying across the Atlantic.  Those things -- when you decide to retire a fleet, those things -- you could obviously bring fleets back, but they're a lot harder to induct than to retire. And so that gives us a lot of confidence the world is very different on the international front over the next cycle than where we had been.
Darryl Genovesi: Great. And then maybe one for Scott or Brett. We had an administration change yesterday. Too much pomp and circumstance. Executive orders were signed, et cetera. But based on everything you know today, is there anything that you would call out about the likely regulatory environment prospectively, positive or negative, either as it relates to COVID or anything else?
Brett Hart: Darryl, this is Brett. Obviously, with the activity yesterday and what we expect to see today, it's going to be, in the first run, a pretty active environment, but it will be focused on addressing immediate issues. So in that respect, we're very supportive of it even with respect to any mandate to make them now related, for instance, to testing and the rest. We've had ample time to build a really strong infrastructure for testing, and we've set up programs in various parts of the country. and we can replicate that and create a seamless environment.  It's going to take direct engagement with the government here in the U.S. And quite frankly, some of these executive orders may certainly require direct engagement on -- from a foreign government perspective as well to make them work seamlessly. But we are actively engaged in those discussions.  So while we anticipate an active regulatory environment from the outset and would suggest what might be unusual for an airline. That is not a bad thing. Unusually, especially because of our engagement with both sides of the aisle, both in Congress and with the administration. So we're prepared for whatever may happen in the early months of the administration, and we feel very good about our ability to have an influence on that process as well.
Operator: And our next question comes from Hunter Keay from Wolfe Research.
Hunter Keay: Gerry, you talked about potentially a constrained ability to invest. Is that a CapEx comment? And then if you look at the 10-K last year, you had $70 billion of contractual obligations at year-end '19, roughly half of which was over this EBITDA margin guidance period, $35 billion. $16 billion in regional CPAs. You had $35 billion in aircraft commitments. Where is that contractual obligation number going to shake out when we see the next 10-K? And where will it go a year from now, and where will it come down?
Gerald Laderman: Several questions. Let me start with the choices we're going to make about paying down debt and investing. As I said, we'll be thoughtful about it. It is critical for us to get our debt balances back down to a comfortable level. Part of that is really to drive the ability to unencumber assets.  What we were able to do during this crisis was use available assets to raise liquidity quickly to build that cushion that's allowing us now to get through. And we basically need to revote and be able to do that again. So it's critical that we reduce debt and unencumber assets, at the same time, keeping liquidity balances above where we thought in the past was required.  So that, without question, is going to constrain some of the investments -- talking about investments broadly, both capital and operating investments. But we have to be balanced about that. To quote an old friend of mine, "We're not going to take the cheese off the pizza." So there's a limit. As you know, in any cost exercise, you can't cut too much. Luckily, we have experience in that, and so I think we'll achieve that balance.  The other thing you'll see us manage a little better is being able to build better flexibility into some of the commitments we make. If you look at what I said about nonaircraft CapEx this year, while on the one hand, the plan is to spend about $1.4 billion, we have offerings. And that's going to be embedded going forward in our planning process to make sure that whatever our commitments are, we know how to modify those if necessary, if required. Some of that may not show up in the commitment table. But flexibility is going to be critical, I think, going forward.
Hunter Keay: I'm with you. Yes, that was a long question. I'm sorry, I worded badly. Kirby, you talked about this return to new. I want to talk about Doreen Burse. As you send her out into the field this year to generate corporate business, what are some of the things that you're going to let her pitch to your corporate that's unique to United and that fit in a post-COVID world presumably with tighter corporate travel budgets?
Scott Kirby: Well, look, I'll let Andrew actually answer. But one thing that I'll say that I'm excited about Doreen, I think she's going to be phenomenal, and excited to have her joining the team. And when I talked to her about coming to United, the one thing I talked about is trying to change the mentality that all of us or too many of us, including myself, in aviation have had about a focus on price as the way to win customers. And the hotels do a remarkably good job of having brand value and getting customers to like them, getting customers to be loyal for reasons other than price.  And so I have asked her every single time, she's going to meeting with any of us, and people are talking about price as the way for us to compete, to stand up and throw something at us and get us to change that approach and find ways to really make our brand valuable, more value -- as valuable as it should be, get our customers to like us and to choose us because they like us, they trust us, they like what we stand for and they have confidence in us as opposed to competing on price. Andrew?
Andrew Nocella: I can't add much to that, Scott. What I would say is you started to call off what is important that we continue to innovate here at United. And as we talked to Doreen about this opportunity, and we're excited to have her start in just a few weeks, she's ready to come with a blank sheet of paper, with new ideas and new thoughts. And we will do things differently. And we look forward to competing and winning, and Doreen is a great addition to the team.
Operator: Our next question comes from Duane Pfennigwerth from Evercore ISI.
Duane Pfennigwerth: Just want to follow up from way back in the call. The flat CASM-ex in '23, could you put a finer point on the range of capacity outcomes underlying that? And with respect to the margin guidance in 2023, are we just assuming the fuel curve? Or is there some fuel inflation baked into that?
Gerald Laderman: Yes, I'll take that. So look, we've run a number of different scenarios on demand and capacity. And even -- we don't have to get to 2019 capacity to deliver on our CASM commitment. So there are lower scenarios, but it really depends in part on a couple of things, including timing, including some of the costs out of our control, inflationary pressures.  But look, our track record on costs, I think, should earn us some credibility, I think, from you that we can get these cost numbers and in reasonable capacity scenarios. On fuel, the only thing I'd say about fuel is we do assume by 2023, the relationship between revenue and fuel is back to kind of the relationship we saw pre-COVID.
Duane Pfennigwerth: Okay. And then just for my follow-up on change fees. From a long-run margin perspective, how do you think about offsets from no change fees? Is it a function of base fare, how the industry is going to need to revenue manage? Is it other revenue? Or is it a function of these cost initiatives?
Andrew Nocella: Duane, it's really all of the above. I mean change fees, we're just -- when we talk to our customers, were the biggest obstacle we had to getting the brands and our NPS and everything where we need it to be. So when we add it all up, it is definitely a different calculation. And our revenue management systems will be slightly different and how we do everything will be slightly different. And I do think we will be more often the first choice of our customers when maybe in the past, we had not been due to this particular issue.  And so a little bit of shares in that calculation as well. When you add all that up, we thought about this long and hard, about a year ago leading up to the change we made late this summer, we think it's a positive for our business and a positive for our customers. And so we're in it, and we know this is the right path.  But it is a complicated calculation. And I understand that many of you have spreadsheet models, which have a revenue line item that says change fees. And that line item now has a very different number in it, and that's a problem for your models. We went through that same assessment as we made that decision and looked at all the competing factors for what was the right outcome. And that's the path we've chosen. That's what you've seen.  So I know your model doesn't fit that, and nobody's model actually did when we started this process. But we're confident that it will as we move through the end of this crisis, and we look towards 2023.
Operator: And our next question comes from Myles Walton from UBS.
Myles Walton: So I was hoping you could talk -- I know cash burn is not something you seemingly want to talk to, but you're still obviously having quite a consumption. And you talked about the core sequentially stable, but obviously implied would be another $10 million on top of that. And so maybe just two things. One, when does that noncore cash burn gravitate towards normal levels? And then secondly, others have been more optimistic of 2Q coming in with advanced bookings and cash really taking an inflection. It doesn't sound like you are as confident. So maybe just touch on both those.
Gerald Laderman: Let me start with cash burn. So first, just generally, nothing's changed in our thoughts about when we get back to cash breakeven. So when demand drives revenue to be less than down 50% versus 2019, whenever that happens, and some people may be more optimistic than perhaps we are in assisting our forecasting and planning. But that's the range where we start seeing cash breakeven.  In terms of some of these items, when they normalize, well, keep in mind that some of the sort of the noncore items include, for instance, debt payments. And that will be steady. This year actually is a very manageable year on principal payments. We don't have any major tower of debt coming due. And so that already fairly even throughout the year. And some of the other numbers as we get through these crisis, some of these more onetime items like severance begin to go away.
Scott Kirby: And look, I'll just add on. Thanks, Gerry. I know we've created a fair bit of angst amongst investors by not being willing to say that we think the inflection point on demand is right around the corner, 60 days away. And we hope it is. We said from the beginning that hope is not a strategy. And the other thing we've tried to do all the way going back to the JPMorgan conference in March is be completely transparent and honest with you about what we think.  And the truth is none of us know. None of us have known from the beginning when this would end. None of us know even today exactly when this is going to be over. And if you're listening to us, your perspective is just as valid as ours because we don't have any unique data that you couldn't also look at for the turning point.  What we are confident about is that the turning point is coming. And while our base case is that the turning point is coming a little bit later than maybe some others think, that turning point is coming. And it's going to come at the same time for all airlines. So it really doesn't matter what our forecasts are today versus tomorrow. The turning point is coming. That's what it is. I think the most important message, it's the reason we focus on 2023 today. We hope it's earlier, and we can create pretty reasonable scenarios that getting back to 2019 EBITDA margins happen sometime earlier than 2023. But we have high confidence in 2023.  And we're not as confident about how quickly it comes back, but confident that it is going to turn at some point this year. And all this about what's going to happen in the short term is really about does that demand inflection point happen at spring on March 22 or does it happen during the summer or does it happen in the second half of the year. But it is going to happen. And for us, that's the biggest takeaway is that it is coming, and we're confident that -- in that ultimate conclusion.
Operator: And our next question comes from Catherine O'Brien from Goldman Sachs.
Catherine O'Brien: So by my quick math, I think you've shared about $500 million of your structural cost program on the call. Can you just share what's the biggest -- just what are the biggest drivers or areas of the rest of that $1.4 billion you've identified? And what additional areas you're looking at for the $600 million yet to be identified of that full $2 billion target?
Gerald Laderman: Sure, Catie. I can give you a little bit more color. Keep in mind that when we're going through a program like this, it's not 1 or 2 big items. If it were 1 or 2 big items, they would have already been included. So think about this as just across the board.  A couple of keywords, probably the biggest one is efficiency. That's going to be driven a lot by the technology innovation that will unlock both labor efficiency and just better utilization of assets. We're going to be able to look at our real estate and start consolidating and combining some facilities, continue to streamline processes, technology investments and allowing our customers to do more self-service. All these things add up, but that's where it's all this comes from.
Catherine O'Brien: Okay. Understood. Maybe one for Andrew and pardon the next 60-day question here. But during last earnings season, we heard from many in the industry that the booking trends are starting to be less correlated to COVID headlines. Is that still true today? Are booking trends maybe more correlated to changes in travel, other restrictions or vaccine headlines? I know you're only sharing what you can see, of course, which is helpful. But have you seen any improved confidence in booking further out over the last couple of months since the vaccine start to be distributed? I just want to hear kind of like what's driving the ebb and flow of booking actions right now, if any.
Andrew Nocella: Sure. What I'd say is we said long ago, this would not be a straight line of recovery, and that has definitely turned out to be the case. When we do look at next summer's bookings, they are down, but they're down a lot less than where we are today. And I think we've said that publicly before. And I think that's true of our industry in general. So it is nice to see that next summer is booking -- advanced booking's better than where we are today. But the numbers are still down.  Whether the demand is correlated to headlines today, I guess I'm not sure. There's so much moving around going on. Clearly, we saw headlines around Thanksgiving that caused our cancellation rates to go up. There's no doubt about that. The performance for Christmas was not as severe for cancellation rates. But the headlines were also not that great, and there's obviously a lot going on in our country.  But I'm not surprised that our -- given where we are for our Q1 outlook, based off of entering this most difficult time period for our country in terms of getting people vaccinated as quickly as possible. So I'm optimistic, but I'm also realistic. And that's how we created our revenue guide for the quarter, and that obviously drives our ATL and a bunch of other things that are relevant in all these calculations. So more to come.  I know that didn't exactly answer your question on headlines. I think I just maybe need a few more weeks to see where we are at the end of January to kind of get maybe a better sense of that. But it is more sluggish or more similar to what we saw in Q4. And therefore, it's not a straight-line recovery. And that's what our outlook, and that's what we communicated today here reflects.
Operator: And our next question comes from Mike Linenberg from Deutsche Bank.
Michael Linenberg: Just as it relates to the net negative COVID test requirement that kicks in next week, I guess this is probably to Andrew and Brett. Are you seeing any notable change in either bookings or cancellations as that becomes effective on the 26? And then just the headline out this morning that the administration is also considering, in addition to that, an enforceable 10-day quarantine. Not sure how they're going to enforce it, but anything that you're hearing from your government people on kind of both those fronts?
Andrew Nocella: I'll kick it off. I do -- the new requirements did have an impact. That impact was very focused though on, quite frankly, beach destinations in Mexico, to some extent Caribbean. And so it wasn't -- the order didn't have a broad impact on our Atlantic business or our Pacific business, which already is down considerably as we communicated earlier. And it didn't have a broad impact on large chunks of even our Latin American business, but it did have an impact on our very close in beach destinations that we can see.
Michael Linenberg: Okay. And then just a quick follow-up here. Just there's been a few articles out about Amazon possibly getting into the distribution of airline tickets. Is that something that would make sense for United given Amazon's bandwidth?
Andrew Nocella: Distribution is important to the entire industry, and I'm sure Amazon will do whatever makes sense to Amazon. Obviously, we sell tickets at united.com, it's incredibly efficient. But we also have great partners throughout the entire system. And if Amazon joins into the ring, we will look at partnering with them as well. That's something -- I don't know if that will happen, but we value all our distribution partners, and we just need distribution that works for us. And we will work in that direction. So interesting development, and we'll see where it goes.
Operator: Our next question comes from Joseph DeNardi from Stifel.
Joseph DeNardi: I think for Scott or Gerry, there's been a fair amount of talk on the call about increased liquidity on the other side of COVID and wanting to unencumbered assets. I'm wondering how equity plays a role in that. I think Delta went out of their way to say that they do not plan to issue any other equity. I'm wondering if you could kind of provide similar commentary.
Gerald Laderman: Yes. As you know, we have been issuing equity with the earnings release, the amount of equity we sold under our ATM program. Look, no decisions have been made going forward. We're going to understand the need to balance the entire capital structure. So the best I can say is we've made no decisions one way or another about additional equity.
Joseph DeNardi: Okay. Fair enough. And then, Scott, what generates a higher return on capital for United? Is it buying a new A320 or giving Luke a $45 million to invest as he sees fit?
Scott Kirby: Thank you. Well, I'd love for Luke to come to me with ways that he can invest $45 million because I'm confident that if we can find ways to invest more money in the loyalty business for everyone else, that, that will produce a higher return. By the way, buying more airplanes also helps the loyalty business or flying more routes because it makes the program more attractive to others.  But your point is well taken that finding ways to invest in the loyalty business is a really high return and stable set of cash flows and earnings right now even through the pandemic and going forward. And we don't have any announcements that we're ready to make publicly yet, but I can assure you behind the scenes that we are working hard on how do we think of that not as an airline frequent flyer program, but on a loyalty program that -- I'll tell you, the goal to double the EBITDA. The goal that I've given is to double the EBITDA in the next few years from the loyalty program by thinking about it differently, which will mean some of those investments go to the loyalty program instead of new airplane.
Operator: And our next question comes from Savi Syth from Raymond James.
Savanthi Syth: I was wondering if you could talk -- I know you mentioned a little bit on the international front. But I was wondering if you could talk about how both the competitive and partnership landscape may or may not look different in Latin America, especially given some notable changes that were underway pre-COVID, including Delta joining Latam or Latam joining Delta and then your partner Avianca having gone through Chapter 11 restructuring. Just curious how you see that landscape changing, both from a competitive standpoint and from your partnership standpoint.
Andrew Nocella: Sure, Savi. It's Andrew. I think what was -- the dominoes that started to fall prior to COVID have fallen, and the board will be rearranged as a result. We clearly have a strong, strong partnership with Copa and our partnership with Avianca continues and, of course, Azul as well. And we're really excited about that portfolio of partners in the region. It covers what we need to cover. And we're really sticking. And to date, I will say that the changeover in those other partnerships has not hurt us. In fact, I think it's helped us. Our performance, I think, has gotten relatively better.  So we have a great set of partners in the region. There's a lot of moving pieces, but ours are pretty good. And we're all set to make sure those partnerships can get even deeper. I think some of that work has been slowed down due to COVID over the last 6 months or so. But the team is ready to get back at it and make sure that these partnerships are key to driving our franchise in the entire region.
Savanthi Syth: That's helpful. If I might just ask a quick question on ticket sales today. Just kind of curious, how much of that mix is kind of credit or voucher use? And what are your kind of expectations as 2021 progresses? And can you see maybe a recovery in purchasing?
Andrew Nocella: Sure. A lot of moving pieces in the ATL because of the amount of credits that we have out there. In the past quarter, we were at 30% cash sales -- sorry, 70% cash sales, 30% everything else. And we see that continue in that number, the 30% to continue to move down.  The amount of refunds we've been issuing has also been coming down, which is nice to see. But the ATL is not moving like it normally moves in a typical year. And so we watch that carefully. But it has a different seasonality, and we expect it to continue to be different until we get past the crisis at this point.
Kristina Munoz: All right. We're going to now end the analyst portion of the questions and move on to the media. I think we might be having some technical issues on the operator. Just a moment. . 
Operator: . And we have Alison Sider.
Scott Kirby: Aly, are you there? Maybe we need to go to the next one. We're not hearing Aly.
Kristina Munoz: All right. Give us another minute here. If not, we might have to take a separate time to address the media questions.
Operator: And we have Alison Sider on the queue.
Alison Sider: Can you all hear me now?
Scott Kirby: Yes.
Andrew Nocella: Yes.
Alison Sider: Great. Okay. Yes, I was wondering if there's been any discussion of kind of taking another look or revisiting the study you all did with DARPA to adjust some of the assumptions in light of some of the new strains that are emerging or if that's something that's even necessary.
Scott Kirby: I guess I'll start and ask the rest of the team. The conclusions from the study should be the same because it's really about the size of the virus and how much it transmits. And so a mutation that makes a slight change in the surface of the virus wouldn't change the results of that study. So I'm not aware that either us or DARPA really sees the need to redo the study. I see our ops team, Toby and Jon Roitman, on in case they have anything different to add. I think they're saying no.
Alison Sider: Great. And I guess one more. Just given kind of your timing or sort of the continued uncertainty, if there's any thought of seeking additional government aid this spring.
Brett Hart: Yes. This is Brett Hart. I'll take this one. What we certainly appreciate is and it's evident in the last round of support that we received is that both the administration and Congress understand how critically important we are as an industry to the overall economic recovery. So we're continuing, as we always do to these, in direct communication with the administration and the Congress. And we're confident that if there is another round of support, that they will give us full consideration and that they will understand, at that point in time, our needs in terms of supporting our overall industry. So we just received the funding. We're grateful for that. It's really important for us and for our industry. But if there's consideration in the future, we're confident that our interest will be taken into consideration.
Operator: And our next question comes from Tracy Rucinski from Reuters.
Tracy Rucinski: To follow up on Aly's question on aid, you did seem to indicate yesterday that you can't count on more aid coming through and that you may need to furlough more employees when this round of PSP expires. Can you give us some indication of how many employees, whether voluntary or involuntary, you would have to furlough?
Brett Hart: This is Brett Hart. No, we don't. We don't have any information on that front at this point. I mean, look, the way -- the best way to think about this is we're obviously focused on the demand environment. And that could change between now and the time that we have to make these decisions. But we'll be focused on the demand environment.  There are a number of other factors that go into play as well. At this point in time, what we are is we're grateful for the opportunity to welcome our employees back and to get them fully engaged. And we'll make those decisions when they're timely. But we're not in a position right now to make any assumptions about potential furloughs in the future.
Tracy Rucinski: Is there a concern that if demand does come back very quickly, as you're saying, that you could be short-staffed and not have enough frontline employees to service that demand as quickly as competitors who aren't furloughing may be able to?
Brett Hart: No. We have no concern on that front. As we have said and continue to say, we fully expect demand to return at some point in the future, and we have been taking steps to ensure that we're in a position to react to that immediately. So we don't have concerns on that front.
Operator: And our next question comes from Justin Bachman from Bloomberg News.
Justin Bachman: I have sort of a two part question on -- first, on the '23 targets, if that includes any type of fleet retirement of older fleet or any kind of hard targets on your upgauging strategy for maybe the regional side. And then the second part of the question was Andrew's commentary about the international competitive situation and whether United sees that as an opportunity for greater capacity on its side or if -- what you expect to play out in terms of the other 2 larger transatlantic alliances and what they may do or if overall capacity will remain low.
Gerald Laderman: This is Gerry. I'll start on just the fleet plan and point out that we want to maintain as much flexibility as we can on the fleet so that aircraft are there to support the demand. The only decision we've made on retiring aircraft are the subset of our 757-200 fleet. The ones -- there are about 13 of them that were covered by -- with the engines that are among the oldest in the fleet that, for a number of reasons, decided those are retiring, which is related to the charge we took in the quarter.  The rest of the fleet, the mainline fleet in particular, will maintain flexibility. And just in terms of the upgauging process, that's going to depend a lot on the availability of the larger MAXs. And we know that the 737 MAX 10 is not available until 2023. So that's not factored into the targets at all for 2022. Now I'll turn it over to Andrew, if he wants to talk about the regionals.
Andrew Nocella: Sure. Thanks, Gerry. What I'd say is that when you make fleet changes in this business, it's easy to retire aircraft, but it's a lot harder to induct new ones and replace them for a million different reasons. And so when we look out at the world, we see airlines have made a lot of different moves, and they generally go back to bigger aircraft being retired. We've clearly kept our flexibility open on this front, as we've said over and over again.  And from a planning perspective, one of the moves we've made is to move some of these aircraft into new markets. For example, we announced New York to Johannesburg and other service to Africa and more service to India as we plan to make sure that we don't necessarily have to put all of our capacity back into the original core markets we had in 2019. So we'll see how that goes. I can't predict what other airlines will do. I'm just looking at fleet plans and the structural changes that we've seen in the global long-haul markets and given you some of those facts.
Operator: And our next question comes from David Slotnick from Business Insider.
David Slotnick: I had a question about vaccine passports. I know that a few months ago, you were trialing a secure digital platform for test results, just a better way to validate negative PCR tests. I wondered if you're doing the same thing for vaccines as travel picks up I know the proof of the vaccine is probably going to be required for a lot of international travel.
Scott Kirby: Either Linda or Toby, you guys want to take that?
Linda Jojo: Sure. Thanks, Scott. We are definitely focused on making it as easy for our customers as we can to manage through all the different rules, whether it's around testing requirements, vaccine requirements. And certainly technology is going to be a big piece of that. And so what I'd say is stay tuned. We've got a lot of really good things coming very shortly.
Operator: And our next question comes from Leslie Josephs from CNBC.
Leslie Josephs: Could you talk a little bit about the demand trends since the vaccine -- sorry, the testing requirement was announced and goes into effect? And particularly, what's the effect on some of the maybe shorter trips in Mexico and the Caribbean?
Andrew Nocella: Sure, Leslie. It's Andrew. You hit it right on the head there that the demand trends have not really changed much in most places, including overseas.  Where they have changed is in the Mexican beach resort destinations and certain Caribbean beach resort destinations. In particular, Mexico had no restrictions prior to these changes. So the impact on those Mexican destinations is just more than other places that already had significant requirements and testing requirements that it already impacted traffic.  So the summary quick answer is we have seen a change. The change is very focused on Mexican beach resorts relative to the remaining parts of the United international network, which already were impacted by test requirements to begin with.
Operator: And our next question comes from Dawn Gilbertson from USA Today.
Dawn Gilbertson: My questions also have to do with the new COVID testing requirement that takes effect next week. Andrew, can you quantify at all the impact on bookings and cancellations, especially to Mexico, since this went into effect? And on a related note, are you confident that there's the infrastructure in place like in Mexico, such a popular destination right now for travelers? I mean I'm getting rims of press releases from high-end hotels, but the average traveler going to Mexico doesn't stay at a Four Seasons. So does that concern you at all in terms of how it's linked to demand?
Andrew Nocella: Sure, Dawn. It definitely is linked to demand. So in terms of the impact on United's overall business, maybe I'll start there is that because most of the world already had some type of requirement for testing or quarantines in place, most of the world, I don't believe, based on the numbers we're looking at, had a negative impact based on the announcement from a few weeks ago and what's going to happen next week.  The one place that is different, that had no regulatory testing requirements was Mexican beach -- or Mexico in general but the beach resorts, which had a material amount of volume. Again, from the grand scheme of the size of the United Airlines, the beach resorts are a small part of our overall business that we're flying today. So that's reflected in our revenue outlook.  But I will turn it over to Toby because one thing we need to do is make sure if you would like to take a trip to Cancún, you can feel safe and secure about your ability to do that and return efficiently back to the United States. So Toby, do you want to take the second half of that question?
Toby Enqvist: Sure. What I would add just, Andrew and Dawn, is we're working really, really hard with lots of partners to be able to increase the supply of tests. And one thing good about this new order is that they allow an antigen test, which is much, much easier and faster and cheaper to get. So more to come like Linda said. We are going to work really, really hard to make sure it's really, really easy to travel with United even with the new testing requirements. And we're going to absolutely focus on the areas that you mentioned, at the short end, the beaches, the friends and family first.
Andrew Nocella: Dawn, there's no doubt, the test requirement is a short-term negative. But as these tests get out there and that it reopens borders not only to Mexico but around the world, we think that's a good medium and long-term change and will prompt more and more demand. But in the very short term, it is a slight negative. But we are going to respond with automation and digital technology and communication. So our customers know how to take that trip and know what they need on the outbound and know what they need on the inbound.  And we will have a lot more to say about that in the very, very near future because this transparency is important to everybody. We'd like to get people moving again, and we know this is the way to do it. And we have plans in place that we will detail very shortly that describe exactly how we're going to do that.
Operator: No further questions at this time.
Kristina Munoz: Thank you, Operator. Thanks, everyone, for joining the call today. Please contact Investor or Media Relations if you have any further questions, and we look forward to talking to you next quarter.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. You may now disconnect.